Operator: It's now my pleasure to introduce Christina Lalli, Vice President, Investor Relations with TRX Gold. Christina, and the floor is yours.
Christina Lalli: Thank you, Kayleen, and welcome everyone to TRX Gold Corporation's Third Quarter 2024 Results Presentation. As a reminder, all participants are listen-only mode, and the meeting is being recorded. After the presentation, there will be an opportunity to ask questions. So feel free to raise your hand and join us in the queue and ask your question verbally or simply write a question in the chat box. [Operator Instructions] And I would like to now turn the meeting over to Stephen Mullowney, our CEO. Stephen?
Stephen Mullowney: Thank you, Christina, for the introduction. And joining me this morning is Michael Leonard, our CFO, to go through our Q3 2024 results. We have a slightly revised and a new format to our presentation today. So we're going to thank Christina for that. And I hope all the participants on the call and shareholders enjoy the presentation this morning, and hopefully, you don't quiz us too much on the questions. But there's not a question we won't answer. So thank you very much. So Christina, if you can -- you have the control of the slide deck today. Obviously, the disclaimer, we will get into forward-looking information, and I ask everyone to read that disclaimer. It's myself, Mike and Christina joining you this morning. So with regards to TRX Gold, I'd like to start off with this slide today. It's a journey. As everyone realizes, and from our press releases, the 2,000 tonne per day plant is currently in the wet commissioning and ramping up, achieving roughly between 1,700 and 1,800 tonnes a day right now, and will ramp up over the next couple weeks into its nameplate capacity. This has been a journey since for myself, Mike, and Christina since 2021. Obviously, we refreshed management then, cleaned the balance sheet the next year. And now we've successfully executed our third mill expansion. Where we're going from here is that we're putting together a long term business plan, as well as, the drill bit will be turned back on in 2025. And we'll come to the market with what we're forecast is, after we get through our budgeting period over the next month or so for that 2025 year and the mine plan that's been put together for our particular year and what the ramp up is going to look like for 2,000 tonnes a day. Next slide, Christina. So operations, obviously we have a high margin, low cost, and what I consider a really good jurisdiction we're operating in. The focus in 2025 on operations won't be as much on expansion. Obviously, I believe there'll be more expansions coming, but there are a lot of what I'll call operational improvements that can be had to increase margins as well as increase gold throughput through our existing plants. So the growth profile and buildup of the operations has been really quick. So now that leads to -- even though we're a low cost operator, we should be able to be a lower cost operator as a result to some of the efficiencies that we believe are available in the expanded plant. So as everyone is aware, we've expanded that on-time, on-budget again in to 2,000 tonnes a day. I'm really pleased with that, and the property is really underpinned by a really good mineral resource that comes to surface that is mineable and straightforward metallurgy. And we believe there's a lot more gold on this property than currently in the resource statements, and it's our job now to take the expanded plant and to attempt to try and unlock some of that mineral potential that is around the property. Christina? So I like this new slide, and the reason why I like this new slide is it takes time to build this slide. If you look at from where we started a couple of years ago to where we are now, these charts are starting to look pretty good, and they're starting to have the right trajectory. And you're starting to see the culmination of what we've done come through in financial and operational metrics. So we've -- when I joined, there was a test plant. Now there's a 2,000 tonne per day plant, and that's driven the financial metrics in order to get this thing into a cash flowing position. We haven't raised any equity in well over 2 years. To do this, we do this with organically generated cash flow. Is this a little slower than some other operations? Yes. But it's a lot faster than other operations, done on a cost effective shareholder, accretive basis and doing it organically. And we fully anticipate similar type of approach in the future. So I'm very proud of the team and everybody that's been involved in this to get this growth trajectory on the right -- in the right direction. And I look forward to a increase in gold production, increase in the results going forward. So as I mentioned, there's been prudent capital management. You're starting to see this come through. Right now, if you look at the net cash that was raised after we came in and cleaned up the balance sheet and other liabilities, we've had almost 2x invested into the asset, into that growth platform to generate the financial results and gold production that I mentioned earlier, while at the same time maintaining, G&A expenditures. As we continue to grow, I think G&A will increase, but we want to make sure that the top lines are increasing a lot quicker than any G&A increases. We do -- we will need more horsepower in certain functions at corporate and then at site as this growth profile continues. So we can't hold it forever, but certainly it's going not going to grow at the same pace as revenue and operating cash flow. Christina? So with regards to the Q3 2024 highlights, before Mike gets into the financial result, we had some good operating cash flow again. Again, really strong gross profit margins. Costs were up a little bit, but gold price was up more and, continued with capital discipline. So it's important to get a sense of how we run this operation is, we make sure that the expenditures that are spent on the operations are generated before they're spent. And so we're very prudent in doing that. We could advance drilling, for instance, a lot more quickly, but we need to have the cash flow to do that, versus going to the markets and raising that cash flow to do to do the drill bit. So our focus in the last year or 9 months has been really on the plant build. And in the plant build to generate more operating cash flow in order to put in place a faster growth profile over the short to medium term. That has been the focus. That mill is now commissioned, and we are looking at utilizing that cash flow again and putting it back in the operations. Both from an operational efficiency perspective, we believe there's a lot costs that can be wrung out of the system, as well as on the exploration drill bit. Mike, anything to add to that?
Michael Leonard: No. I think you said it really well, Stephen. You've touched on it a couple of times. Capital management -- prudent capital management has really been one of our calling cards, and our primary area of focus since the day we joined. The model was really, and you've heard it many times over for long time followers of TRX, the model was really to build a business that generated sufficient cash flow to enable value accretive, growth based decisions, either through things like plant expansions, which you've seen, or exploration, which we've talked about. And it's growth in a value accretive way while minimizing shareholder dilution, which, I think, we've done a very good job of demonstrating. So, onwards upwards from here.
Stephen Mullowney: And in this slide here, you'll see a picture of the new crusher that is -- and it's darker ore going through. So that's more oxide material than sulfide material in this particular picture. But, certainly, the crushing circuit is delivering currently. Next slide, please, Christina. So with regards, you see some of the new pictures here. You see the new crushing circuit and a couple pictures. You see the TSF facility. The TSF facility will be expanded so we can get a couple more years' capacity in that and long-term tailings plan is well underway. As mentioned, in our, Q3 release, the production is now up. We're currently processing almost 1,900 tonnes a day and a 116% increase over Q3 2024. That's led to an increase of in gold production. The improved crushing capacity. There's a lot of crushing capacity here for further expansion or what I'll call operational improvements to increase throughput. And, we're looking, looking forward to this growth to really start to unlock the potential of the Buckreef Gold Project. So, Mike, I think I'm going to hand it over to you to go through the Q3 financial numbers, please.
Michael Leonard: Sure. Sure. Happy to. Buckreef did have a strong operating quarter, well-focused on ramping up the mill to 2,000 tonnes a day. The operating cash flow continued to be strong at greater than $3 million for the quarter. We're up getting close to about $10 million year-to-date. So year-over-year-over-year, seeing significant growth in operating cash flow, which again we put back into the business to grow things like plant expansions like we've done in a very value accretive, and growth oriented way. Stephen touched on the gross profit margins, continue to be very, very strong. We saw a gross profit of, of about 43% for the quarter. Year-to-date, we're over 40%. It, again, shows that this is a low cost, high margin project, and demonstrates significant leverage to these record, gold prices that we're seeing. Liquidity remained strong. Again, Stephen touched on this. But our focus was on building a plant expansion through a self-funded approach. We did that and preserved and maintained liquidity that just under $8 million in cash, positive working capital, and a debt free balance sheet. So again, prudent focus on capital management. And again, most notably, we built this plant on time and on budget through organically generated cash, so really keen focus on prudent capital management. In terms of leverage to gold prices, we touched on this. What you'll have seen in our results is a year-over-year increase in, in revenue, in gross profit and EBITDA. Our year-to-date realized price, as most people have seen, is up almost around $2,300 an ounce. Last week, I sold gold at $2,460, which again is a record price. So these are all record numbers as we all know. And, again, this operation is benefiting from it immensely as we grow across all the financial metrics. We touched on gross profit margin. We got revenues for the quarter of over $10 million. Year-to-date, we're up around $30 million. So, again, year-over-year-over-year growth and benefiting from the larger plant and higher gold prices, EBITDA is growing. Operating cash flow is growing. And we're continuing to use all that -- that cash flow in a prudent capital way by growing this business and maintaining liquidity and preserving our balance sheet. And I'll just touch on it again. We have guided the market to a plant expansion of about $6 million, which, again, is very, very low cost to grow a mill to 2,000 tonnes a day like we did from a 1,000 tonnes a day. We did it on time and on budget using our own cash. So as this reaches nameplate capacity, Stephen touched on it. We're doing over 1,800 tonnes a day, during wet commissioning. We expect all these metrics to grow into Q4 and certainly into 2025, which we'll update the market on accordingly. Back to you, Steve.
Stephen Mullowney: Yes. Thank you, Mike, for that overview. Next slide, please, Christina. So again, not to really repeat myself. It's, as Mike and I have mentioned, we are reinvesting the cash flow for funding of growth. We will, in the future, look at the strategic M&A opportunities, particularly things that have a similar profile to Buckreef, and can be grown fairly quickly on a cost effective basis like has been done here. We do, as I mentioned, several -- in several periods, have capital programs in the near term that will drive efficiencies in the operations. That's both on the mining side as well as on the processing side. And you'll start to see some enhanced CSR and ESG disclosure and programs in place. And this is necessary in order to reach all investors. I'm a firm believer that more demand for an investment, hopefully, the higher the price. And so we need to have our disclosures like other companies in this regard, and so that is well underway. So all-in-all, the operations are operating as we expected. And we are pretty confident in what the future lies at Buckreef and the growth profile that we get. So with regards to the next slide, the drill bit is anticipated to go back in 2025 in a much larger way than it was in 2024. The focus will be on the northeast and the south and on the main zone you see those 2 stars there. In 2023 and 2024, we drilled out extensions to those zones. They need to be infilled in order for that to go into resource categories. Also, down below the Main Zone pit, there will also be some infill drill program there. And, obviously, looking around our property, the Anfield Zone, you know, we have some holes in there, as well as the Eastern Porphyry, which we started to mine on the Eastern Porphyry. So stripping is happening now at the Eastern Porphyry. We did a great control program there. That oxide will start to go through the mill, and we'll be looking at the infill that zone and get a much better handle on what we really have in that Anfield Zone over the next year or so. So those are the high priority targets that we have for 2025. It's a pretty easy to explain, which is good, and we're going to keep our fingers crossed that, there's going to be a lot more gold there than we anticipate. And, and some -- you know, you always have to have a little bit of luck in this, but you got to go nowhere to look for look for the gold in the first place, and we're pretty confident in it. Next slide, Christina? With regards to share price performance, as everyone is aware and everybody asked me, we were kind of, I would say, we're more in an oscillating zone between $0.40 $0.45 at this period of time. I think the increase in cash flow that we're trying to expand a plant as well as a successful drilling program should hopefully start to move the stock price out of this zone. We are debt free. We have around $7.5 million to $8 million of liquidity right now in cash on our balance sheet, and, with an increasing production profile. So pretty confident that, hopefully, we could start to get out of that oscillating range and into something that's more significant. With regards to, in summary, again, the Buckreef property is a good property. It has a lot of gold, a good grades, mineable, able to process it fairly in a straightforward fashion to grind crush CIL operation. It's high margin. We're increasing production. There's a significant resource in the property. We know and feel confident where we're going to go drilling, and we're going to continue to reinvest the cash flow from the operations back in to the operations to grow it in order to get an increase in shareholder value. So on that, I would like to hand it back to the moderator and start the Q&A process.
Operator: [Operator Instructions] Our first question is from Mike Niehuser with Roth Capital Partners.
Richard Niehuser: Really, I think this is kind of an exciting time. I think the current quarter is one of transition, but it appears by all that we -- I can see is that it's going to stabilize at a higher level next quarter. So do you view this current quarter that we're now in as basically a transition to stability?
Stephen Mullowney: Yes. That's a good -- that's the way we describe it internally, Mike. It's a transition to stability. Obviously, the fourth quarter won't be the run rate quarter because you're going from the 1,000 tonnes to the 2,000 tonnes over time within the quarter. But certainly it's a transition to, higher gold production, higher operating cash flow, and a better growth profile for the business. So, yes, I would -- I think you phrased it really well.
Richard Niehuser: Okay. And it looks like you're getting -- still getting good recoveries. Do you have any comments on, as you're moving from oxides to transitional ores or sulfides in terms of what you're seeing distinguishing recoveries? Or you got the crushing figured out with the fine size to be able to be, have some confidence going into the sulfides with satisfactory recovery? It's kind of a long winded question, but I think you know where I'm going.
Stephen Mullowney: Yes. I know exactly where you're going, because we look at this on a weekly basis, is right now you're in a period where, obviously, in any mining operation, sulfides are harder rock. Typically, you don't get the same recoveries as oxides, because it's harder to grind it down to the size that exposes the gold to the cyanidation process. With that in mind, what you have is a balance between throughput and recoveries to maximize revenues and profits. And so we're in that sort of phase now where we will look at operating efficiencies to increase the grind size in order to increase the recoveries on a cost effective basis. So there's certain -- typically, you would see a sulfide operations either a HIGmill or a SAGD mill on the front. That will get evaluated over time. And also you may get evaluated over time a thickener on the back end as well. So these are sort of some of the operational efficiencies that we really need to look at to increase that recovery rate. Really, what we saw in our MET studies and what we continue to see, it's about grind size. And obviously, the finer you grind it, it's a little bit more expensive to do that as well. So we need to go through and figure out what is the optimal throughput and optimal recovery rate to maximize profit. That make sense?
Richard Niehuser: Great answer. So you're still learning, and that's good to see.
Stephen Mullowney: Yes.
Richard Niehuser: With the higher throughput, are you starting -- are there going to be -- anything you're learning you can share about which expense items are going to be variable or where you might be able to make it up with the increased throughput. Not all not all things -- there's the variable and the fixed cost, but it seems like there's -- it seems like it's more exciting to have the margin expansion from operating expenses than the gold price, strangely.
Stephen Mullowney: Yes. No. I'd agree with that. So if you look at our cost profile now, the largest cost is mining. And we've been lucky in the way we've put together this business plan for growth to be able to utilize a lot of Tanzanian labor and contractors. But that is more expensive. So we don't have the equipment fleet that other miners would have. That will be something that's looked at over time to supplement the contract mining fleet is having our own mining potential. There's equipment being delivered, I believe, this week or next week, Mike, in that regard.
Michael Leonard: Yes, that's right. Correct.
Stephen Mullowney: Yes. So now we're going to start to build that up a little bit better. We're in a position where we can do lease to own on a lot of that equipment, so you you'll start to see that. That also helps us on the construction cost. So we utilize a lot of contractors for constructing of tailings facilities and earth moving and those sort of things. So we'll start to do a lot of that on our own going forward, so that helps reduce the cost profile. Obviously, a 1000 tonne to 2,000 tonne per day plant, you get efficiencies just by throughput. The labor doesn't really increase that much. We need to look at more efficient ways of utilizing the grid and the gensets by putting in place battery packs for continuity of power and things of that nature. That's all getting a look at. And then if you can increase your recovery rates then that drops down as well to the bottom line. So there's a lot of these sort of efficiencies that are starting to be looked at. We haven't had the time. You only have so much bandwidth in human capital to really drive that. So we need to -- we've been focused on building for the last 2 years. So we just need to step back from building and look at -- looking at the operations to increase efficiencies and then build again.
Michael Leonard: Well, and Stephen, I might just make one comment for Mike to add to that. You certainly touched on it, but the synergies from this larger plant will be quite significant around things like processing cost per tonne where, you will have seen in the key stats, Mike, that we've been up around $25, $26, $27 a tonne processing. And, you'll expect to see that end up perhaps not quite half, but you're effectively using to Stephen's point, the same labor force to do 2,000 tonnes a day that you would have -- to run the 1,000 tonne a day plant. So that will come down significantly, and you'll start seeing some better margin out of the processing plant as a result.
Stephen Mullowney: Yes. G&A, all that sort of stuff gets covered at site. That doesn't increase, right, from higher throughput.
Richard Niehuser: Another good answer. Both answers. 2 more questions if I could. It looks like -- you mentioned M&A, but I'm really sensing that after listening to your answers that the money's going to get spent on derisking and further refining, recoveries with capital improvements possibly or with exploration. So really, the money is going back into the project just to sustain that level and potentially be able to expand into the sulfides if you get the right recovery. So that seems where the real opportunity is to get to where you want to go. Is that close?
Stephen Mullowney: Yes. So the struggle is when you look at M&A, do you find a better opportunity than what you have in front of you? Just leave it at that.
Richard Niehuser: Well, I think, the -- fair enough. I guess, that leads to the second question is that, with the safety record and the community work you're doing, it's all significant and real. It seems like the government relations have got to be good and that opportunities are going to come to you, because you've earned them. Is that too much of a softball kind of question? Because I really sense that there's an opportunity for some kind of negotiation with the government that might actually improve upon the current agreement that you have. Do you care to comment on any of that?
Stephen Mullowney: Yes. Yes. Look. I can comment on that because it is in the press in Tanzania. We have at the earliest of stages, start a dialogue around a joint venture agreement with the government with the goal of increasing jobs, royalties, and taxes for the government, obviously. And on our end, making sure that we have a reasonable economic arrangement with the government. So those are at the earliest stages. I can't comment much more on that than that. But that is something that is out there as well. So the government relations side of things are very good. We had a large government delegation on our site probably twice in the last 6 months. So -- and when the politicians want to show up and, and praise what's going on there, then, you're going to be in good stead.
Richard Niehuser: Well, you're really manufacturing producing a lot of credit to go around, so why not? Good answer again. Fair enough.
Stephen Mullowney: Thanks, Mike.
Michael Leonard: Thanks, Mike.
Operator: [Operator Instructions] While we're waiting to see if anyone else wants to join, I'd like to hand it over to Stephen Mullowney to take us through questions submitted in writing.
Stephen Mullowney: Yes. Okay. So let's see if we have any questions submitted in writing. The first one is with regards to a -- have we considered any potential taking profits and share buybacks? That's an interesting question. I think we need to see how much cash flow is going to be generated. We have a good sense now, but we need to get through our budgeting process and then look at the -- how it looks long term, before we look at a share buyback program to shrink the share base and to share number share base. But certainly -- look, I think, I'm of the view that if there are opportunities to increase shareholder value, which is the increase in share price ultimately, it would have a look at it. The liquidity, obviously, of small caps in the United State market has -- is not as robust as it was a couple years ago, and we're not immune to that. And so, if there's an opportunity to increase shareholder value, it'd be something to look to be looked at. But I think right at this point in time, in the short term, there's more benefit to increasing the profits and the operational efficiencies at Buckreef with that cash. I hope that answers the question. Next question is, so the next thing gets in the recovery rates on the sulfides versus the test run. And, obviously, the rates that we're getting in the plant are different than what it was in the test run. So in the test run, the ore was grinded much finer than what we are experiencing in the operations, and that's why you have the higher recovery rates. It's all about grind size. As I mentioned, we need to go through and analyze what is the ideal recovery rates, whether it's 85%, 86%, 82%, or 88% versus throughput levels to maximize profits. That is something that we'll be looking at over the next little bit in order to determine what the next business plan is and how we develop this milling asset. So it could mean that we put a HIGmill or a SAGD mill on the front or could mean that we just expand it again. We need to get into and work with our consultants and people on-site to determine what that ratio should be. Cash cost of $1,100 an ounce. Yes. There is a difference between what we had as guidance and what we have experienced. And in the last year, we've experienced much more rain than anticipated, so mining costs are a little higher. We've also have experienced a different mine plan than originally anticipated. The ore hasn't gone anywhere. So we've had a little bit lower of a grade profile than we originally anticipated in this year's operations. Now, obviously, we'll go back and get that other grade ore or higher grade ore in the future. So that has all led to the higher cost than what we originally had anticipated. So all of those sort of factors. Mike, anything to add to that? Because you're really on top of that as well.
Michael Leonard: Yes. I mean, it -- I would also maybe just add, Stephen that -- and you touched on it. Because the mine sequence was slightly different than what was originally envisaged at the start of the year because of things like rain and equipment availability with our mining contractor, we ended up encountering a higher proportion of sulfide ore, as compared to oxide ore than was considered in the original plan. And what you're looking at is harder rock effectively that requires, additional drill and blast, for example, in the mining. It's harder on some of the mining equipment, so you end up with more maintenance, for example. In terms of throughput through the mill, it's -- it requires more reagents and grinding media and consumables. So you end up with, to your point, a higher mining cost per ton and a higher processing cost per ton than they're originally envisaged. So -- hence the reason for the adjustment to the guidance figure on the cash cost number.
Stephen Mullowney: Yes. So the next question is -- oh, I love this one. Is the fair value to derivative liability? So when we recapitalize the company, it -- well over 2 years ago now, we needed to take out warrants. So that derivative liability is related to those warrants. It gets mark to market every quarter. Sometimes it works in our favor. Sometimes it works against us. We're fully aware that there's even a significant part of the U.S. market that will trade particularly algos and financial players on EPS numbers, et cetera. And that has an impact on that. This will be an expense or income item that will dissipate over time as the warrants get closer to maturity. So we're fully aware of it. We don't like it either, but it was a necessary evil in the recapitalization of the company at the time.
Michael Leonard: And I can maybe just give a very, very -- I won't get into all the Black-Scholes inputs that go with the valuation. But, importantly, this is a noncash adjustment, plus or minus. It will be settled with equity of the company if and when, they're either exercised or expire. But in summary, the higher the share price, the higher the liability on the warrants, and, consequently, the higher the loss. And if the share price, goes in the wrong direction and goes down, you end up with a gain. So it's been variable as we all know with each quarter, hence the pluses and minuses, but it's all noncash and, perhaps something we look at, for a future non-GAAP measure and adjusting.
Stephen Mullowney: Yes. It's something that we've had discussions with our warrant holders, but they won't allow us to deal with the warrants at this point in time. That's all I'll say. With regards to the last one, I get asked this question of dividends in gold or cash or gold at a -- all the time, and this is something for in this era. I think Mr. Sinclair, was a gold bug. I'm a gold bug. And I think when, he was envisioning these sort of statements, his envision of gold price is a lot higher than the current gold price. Which makes declaration of dividends in cash and gold a lot easier to do. I think something in the future is certainly -- something of consideration. I believe there's either ways, and I answer this question the same as I always have. Either ways to create shareholder value in the short term than a dividend in cash or gold at this period of time. The operational efficiencies, I think, are one thing to look at. I also -- and we haven't done enough analysis on this, but the question that was asked earlier in share buybacks, may have a -- may or may not have a better impact that would need to be assessed against that sort of consideration of cash or gold. But in the short term, I don't anticipate a dividend in cash or gold.
Operator: Stephen, we do have another question from the phone lines, if I could introduce them?
Stephen Mullowney: Yes.
Operator: The next question is from Craig Sutherland with Conceptual Solutions.
Craig Sutherland: Most of the questions that I had, had already been answered. But I do have one particular, because obviously, share price is what the shareholders are concerned with as they should be. My question is really focused on, if we are doing all the things, which you're doing correctly, it appears. Cash flow is increasing, production is increasing, not taking on any other debt. It's a great story. You've got a 20% rise in gold price point-to-point from this point last year, but the stock's basically flat or slightly negative. Volume has not picked up a whole lot. So my question, with that being phrased is, I know you're focused on building the company, which I appreciate and you should be. However, there also has to be a component of visibility. I know you've done some trade shows and some things like that, but what specifically is the company doing, in talking to analysts and getting that type of visibility? Because there's something missing, because the story is building such great momentum, such great traction, but it's not being realized. So in your meetings with analysts or whatever it is, what are they telling you that they need to see to make recommendations, to pick you guys up, to give that visibility to the market?
Stephen Mullowney: Yes. So that's a good question. And I think this is a journey as well with regards to getting the story out there. Part of the thing that is starting to resonate with them is we've actually done what we said we're going to do. So if you look at, this even a year to 2 years ago, we would talk to analysts and institutional investors, and they would have a smile on their face, not really believe us. Because this is, unfortunately, an industry where there's been a lot of disappointment. I'm going to just say that in an industry perspective, particularly around putting assets into production and growing them. If you look over the last couple of years, not a lot of great stories out there in this industry. So it is a doer industry and we'll invest afterwards. So, basically, do as you say and then we'll consider you. So we're starting to see that. I even look at the number of participants on this call versus what we had 2 years ago, and it's probably triple. So the story is starting to resonate more and more. We are picking up on trade shows, and we will also start to pick up on reach out to institutional investors and retail conferences. Now that we you know -- as Mike said earlier, it's a transition quarter. The company is in a lot less risky of a situation. It will now, hopefully, start to appeal to a lot more investors than where it was 18 months ago.
Craig Sutherland: Yes. No. And I appreciate that too because if you were to take the list of companies, of the same size, doing the same work, I think the field would be extremely small, if any, that would have the same profile with no debt, positive cash flow, and a resource, that's continuing to expand. But again, I want to go back. Have the analysts said anything to you? Is there a certain, amount of sales, net that they're looking for? Is there that sweet spot that, as the story's unfolding, you're doing what you're saying. They're like, we want to see -- once we get to here, then it's -- that's go time for us. Or there has to be something, that is coming back to you guys that you're building towards.
Stephen Mullowney: Yes. So if you look at -- okay, you're also looking at any investment adviser universe, a change in what they could put their clients into. So one of the things is that we get constant feedback on is just fact that the share price is $0.45 or considered a penny stock. So that's one thing that it needs to be looked at over time and they increase that and make sure that gets to a point where it's investable for that sort of crowd. Then from the institutional perspective, it's around market cap and size. And one of the things that we can do to add is continually grow with the financial metrics in order for them to say, okay, this is such a compelling investment. So we had a conversation this week with an analyst that was starting to look at free cash flow yield to share price. It's a market cap. And our metric there, when they said it was 2,000 tonnes a day, your metric is way out of whack with the market, because the market, for instance, in large miner will have a free cash flow yield of. Mike, I think the number was around 78%. Which ours would be significantly higher than that. So it's certainly starting to resonate on those sort of financial metrics. One thing that is dissipating a little bit is, the Canadian market, for instance, focus on amount of ounces. Whereas the U.S., and European and Asian markets will focus more on free cash flow. So we are predominantly traded in New York, and most of our shareholders are U.S. shareholders. So our focus has been on those financial metrics, and I hope that we'll start to see the rerates. I also think that if we can get to an economic arrangement with the government that makes more sense, than we get the benefit of that as well. That is a drawback as well. There's no doubt about it. That 55%, 45% is a drawback. But that is for us to tackle.
Craig Sutherland: Yes. I guess one last touch point, if you could, and it was already brought up. I think, Stephen may have asked that. This is either the third or fourth call in a row that you've mentioned M&A. And you did a nice job of kind of talking without talking about it, and I'm trying to ask the question respectfully and in the way that you can answer it. From an M&A standpoint, are you referring to us acquire -- you said of like properties. Well, there's not really a whole lot of like properties in the general area that where you're at that I could see. So is this something that you're looking to possibly do M&A with smaller ventures for us to acquire them, or are you -- and I've asked this on a couple other calls. Are there larger properties and mines that we want to, how do I say it, play with?
Stephen Mullowney: Yes. So, look, when I look at M&A opportunities, it's -- there are opportunities more than you would think of not with the sheer resource numbers, but similar opportunities to get assets into production fairly quickly. There's more of those than you would anticipate, and I would say that they haven't been as prudent on capital management, particularly capital structure. And but it takes time to get through the social issues of the fact that there's probably not a lot of equity value there yet, but the value is held by other holders, say, debt. And you got to wait for those opportunities to percolate appropriately. There has been interest in Tanzania, obviously. Perseus acquired OreCorp, which is around 30 kilometers away from us for a couple of hundred million dollars. And there is people more and more looking at Tanzania as a safer investment jurisdiction than what it has been in the past. So ultimately, we would prefer to be an acquirer and do similar things that we've done at Buckreef, and we think we can do that in the future.
Operator: The next question is from Stephen Reiser with the Family Office.
Stephen Reiser: Firstly, congratulations on the excellent achievement in terms of this third expansion of the plant. Certainly, it looks like an inflective moment in TRX history. And the fact that the team has brought it in on budget, on schedule and, managed to avoid capital dilution, all these are things that really are great indicators of credit in the TRX team and the performance to date. So, much, accolades in that regard. What I want to do is just ask a couple of questions, one of which is, building a little bit on, Craig's discussion is he -- and you were talking about, Stephen, ways to free up the share price or liberate the share price of TRX from some of the current constraints. Is the team planning to do more along those lines regarding the story on Tanzania? Because I think, one, there is still a level of investor apprehension around Tanzania generally. But as one looks secondarily at Tanzania, there actually is a pretty good underlying story to tell in terms of significant economic growth. The fact that they are in a strategic location within Africa, that they've got the second largest port, that in fact, they're creating a more friendly business and investment climate, that there's been a new Investment Act promulgated. So, to the extent that the company can enriching the understanding on Tanzania would help to avail investor perception. So wanted to get your views and thinking on that dimension.
Stephen Mullowney: Look. Obviously, there's been a lot of press and a lot of things happening in Africa in general, particularly West Africa. There's a lot more gold miners in West Africa than there is in East Africa. Certainly, what we're hearing from analysts and investors is, East Africa is now perceived to be less risk than West Africa with the people have had been able to deal with coups and juntas before, in the past in West Africa that doesn't scare investors as much. It's the other geopolitical influences in West Africa that are, becoming problematic, particularly the Russian influence from a western, investor perspective. So that's part of what we're starting to see in East Africa and what we're being told. Also, you are right. Since Mama Samia became President and there's has been a switch in investor sentiment, that started really before she came in. They are out searching for more and more Western investment. The Perseus acquisition of OreCorp is interesting as well. And the fact that they'll spend probably over half a $0.5 billion to put that into production, and that's the plant. Also, the Lifezone Metals that is in the -- listed in United States. I believe that has a market cap of $300 million, $400 million, or it might be even higher today. The nickel property that has BHP as a cornerstone investor into that property. It leads well as well. They're looking for investors into the natural gas space and that sort of thing. Dubai World, I believe, just took over the port operation. So there's a lot of these sort of things that are percolating around, that are certainly lean into us. But again, what I say is, all this stuff, we go talk about it, but it just takes time. Right? It takes time for all of this sort of things to come to the surface and to all come together. And we're starting to experience it, but it just takes time. I've learned to have a little bit more patience in this role than I had in, certainly in professional services where things happen a lot quicker.
Stephen Reiser: That makes sense, Stephen. I do agree with you on the time dependent element. Certainly, the more we see periodically even on the website about the -- what we consider an improving situation in Tanzania, I think the better, the company's posture in the marketplace will look. The second element we want or second question we wanted to ask is, in terms of the excitement around the expansion of production to 2,000 -- throughput to 2,000 tonnes per day. I recall that, like, in 2023 you all generated around 20,000, 20,700 ounces of gold, $17 million in operating cash flow. If memory serves correct. As one looks out over the next 12 months, just to get some early pro form a view of potential. Do you all have a view of what type of ounces of production we might expect to see over the, the next year and what type of operating cash flow we might be looking at over the next year now that the plant is nearing operation, the third expansion that is?
Stephen Mullowney: Yes. We're coming out with it and we're currently within the budgeting process. So -- and, we do have a sense of that. Obviously, the throughput will double and gold production is to going to be dependent on the grade profile as well as the recovery rates that are achieved from that throughput. So I have a goal in mind that I would like to see, in those particular numbers. I'm not willing to say what it is today in the public realm because we just need to do a little bit more work to firm it up. But certainly, I think the direction wise that you're looking at, it will be the direction wise that we're looking at. And remember too that this will over time go up and down depending on grade, because you can't move the rocks around just to get high grade first, and then low grade second. You can only do so much of that. So the great profile will be a little bit under, I believe, what we've experienced, say, last year. But, we're still going to have healthy growth in gold production and margins and cash flow. Extremely healthy.
Stephen Reiser: And, last question we've talked about 2,000 tonnes per day. But I recall from the recent news release that you're talking about potential -- the grind capacity is actually higher than that significantly. I don't have the figures right on my fingers.
Stephen Mullowney: So the processing plant -- the way the processing plant works is, obviously, in any processing plant you have bottlenecks, and that's just the nature of it. Once you remove one bottleneck, you got a new one in throughput capacity. So that's the crushing circuit has more than 2,000 tonnes a day, and you want that to be more than your grinding capacity. So the ball mills are grinding, the crushers are crushing. And so we do have room to increase the grinding because the crushing is larger. Again, we will look at what's the most efficient way to increase throughput as well as, recovery rates and get that balance. We haven't done or completed that work at this point in time.
Operator: Stephen, that's all the questions we have from the phone lines. I will hand it back over to you.
Stephen Mullowney: Yes. So thanks everyone for joining the call today, as some good questions. So I am very pleased with the questions and we're available anytime to answer any questions that anybody may have. You can pick up the phone or contact Christina. Her contact information is in the investor deck. This investor deck will be updated.
Christina Lalli: Yes. And I just want to quickly jump in. I think we do have one more question, through text line just regarding share dilution. I think the question is asking whether we expect to live any share dilution in the near future.
Stephen Mullowney: Not in the near future. I think we made that. It's all cash flow from operations.
Christina Lalli: It looks like that was it.
Stephen Mullowney: That was it? Excellent.
Christina Lalli: Yes.
Stephen Mullowney: That was the easiest question to answer thus far today. And so, thanks everyone for joining us. Continue to follow us and contact us anytime, and thank -- we'd like to thank our shareholders for their continued support. And as I say at Tanzania, [ Asante sana ]. Thank you very much.
Christina Lalli: Thank you, everyone.
Operator: This concludes the meeting. You may disconnect. Thank you for participating, and have a pleasant day.